Operator: Good afternoon. Welcome to A2A Conference Call. My name is Zach, I will be your moderator today. During the call, your lines will be muted, however at the end of the call you can submit questions. [Operator Instructions] I introduce Marco Porro, Head of Investors Relations, to start the call today.
Marco Porro: Good afternoon, thanks for your participation. Today we are presenting the results with Renato Mazzoncini, our CEO and Luca Moroni, our CFO. I hand over to Renato Mazzoncini to start the presentation.
Renato Mazzoncini: Thanks, Marco. Good afternoon. Thanks for being connected with us. The title of the first slide that you have already seen is Life Yards. It's the first year after the presentation of the update to our business plan in November 2023. We had named Life Yards our plan update because we wanted to convey the idea that this was a business plan getting its shape through industrial CapEx and of course this is confirmed this year. This first slide, which looks different from what you are used to see, usually the first slide was a presentation of positive and negative highlights. We deemed it interesting, as you all know, the main components to underline this flow. On the left-hand side, you see organic industrial growth, which is probably the most important figure for our company in these last years, which translates into many elements. Here we have selected the three most significant ones in 2024. The increase in customer base that we will see in detail, the increase in RAB for CapEx in all network sectors. We have new plans in the waste cycle. At the opposite end, also ability to profitably manage the upsides is very important. And this year, hydroelectric production, as you know, has been significant. And it's very important to generate value from this high production, which requires good energy management and also an equally effective hedging strategy, which was another strength. You have already seen the results in the press release. We have exceeded 2.3 billion EBITDA and 800 million net income. ROE and ROE for our compartment are very high, 11% and 15% respectively. This stems from cash flow generation, which has been significant, and also from an asset rotation that we have activated this year. After acquisition of electricity grids from Enel, we have transferred a part of our gas networks to Ascopiave. And then our first hybrid bond has been issued to strengthen and diversify our equity structure in a more contemporary way with all the tools we had available. The result of all that has been important industrial transformation, 2.9 billion CapEx in total. So 2024 for sure will remain a very important year, confirming the industrial growth and the commitments we are complying with since January 2021, when our first 10-year business plan was communicated. And the network operations of this year are very transformative for this part of our company, as we will see later. We have been able to get €2.9 billion, likely more than that in terms of total CapEx, maintaining a level of 2.5. So the net financial position and EBITDA ratio is equal to 2.5 in a year when Standard and Poor's acknowledging the change in the structure of our EBITDA, thanks to the important CapEx in networks and to the fact that the district heating is now becoming semi-regulated so that our threshold moves from 24 to 20 from -- is revised from 25% to 24%. 2024 leads to a TSR of 21%. We have approved a dividend proposal of €0.10 per share today with a growth compared to the previous year of 4.4%. Our remuneration policy envisages growth of at least 4% per year of our dividends. This year we have registered 4.4%. Next slide, please. Industrial operation of the networks has also allowed us to reorganize the group from an operating point of view. As you know, if you have been following us, we have two pillars, circular economy and energy transition that you see in this scheme. Circular economy was in part in the waste BU where we had cycle and in part in the smart infrastructures where we have water and distribution. We have then unified circular economy in a specific business unit. We have waste, we have waste collection of urban and industrial waste and waste treatment. Then we have material and energy recovery, so waste to energy plants. And there we also have district heating with co-generation, district heating and distribution and heat management where we also have our activities in terms of energy efficiency with the public administration. And then we have the integrated water cycle. We will look at the strategic rationale underpinning the growth of this new business unit later during the call. The other two business units, i.e. energy, which includes generation and trading and also market in a logic that we have been pursuing over the years of natural hedging between generation and customer base, is in this energy pillar. And we have in smart infrastructures, the networks, electricity networks. With the last transaction, we have an imbalance in favor of electricity. Anyway, maintaining the gas network in Milan, which is the largest item in Italy where there have already been tenders. And then we have public lighting, e-mobility and smart city services. Here you see the breakdown of CapEx, about half a billion euro for each of the three pillars, excluding M&A transactions. And of course, the smart infrastructures part is completely regulated. The circular economy has low volatility because we have a contract-based business as for waste collection and district heating, which is under a regulated logic, while energy generation, trading and marketing is exposed to the market, even if also in generation with the capacity markets and with the PPAs, as a matter of fact, allows us to have hedging between a generation and customer base so that we have reduced the volatility of that segment. The next slide shows the logic of the new business unit structure. As you can see here in the central part of the slide, you see urban and industrial collection of waste. Feeding waste-to-energy plants for energy recovery purposes, and the same goes for water treatment plants where we are continuing to invest. So we treat sludges that can no longer be used in farming. They are used to feed waste-to-energy plants. And then we have district heating. As you will remember, we have very ambitious targets until 2035 to exceed 60% of distributed energy from district heating generated, starting from WTE. In district heating, of course, we can also have, in a logic of co-generation, biomethane. We have several operating plants or plants in conversion. We would like to get 160 million cubic meters. So the best way to use biomethane in full swings will be co-generation plants, which have a high level of efficiency and can therefore make good use of this fuel. It's a BU with a 600 million EBITDA and a set of KPIs that you see here in the lower part of the slide. They are significant as you can see here and they are increasing as well. In the next slide you can see some important elements, some achievements or goals that we have attained in 2024. We have a CapEx grid of 10% year-on-year in the grids, which means having engineering capacity and a supply chain which follows the trend, which is far from Enel. Then the large transaction with Enel that you already knew, signing with Ascopiave, where we have committed to reach closing by end of July. Capacity markets, where we have acquired capacity market volumes until 2027. Then we have the continuous growth of renewable energy sources, most of all acquisition of a permit for a photovoltaic part with 112 megawatt capacity in Friuli, Venezia, Giulia in northern Italy. We are talking about an area where there's no need for storage because there is a strong energy demand. Recently, other 22 megawatts have started operating in Sicily and we are still working on PPA contracts, both on the buy and on the sell side in a platform logic which allows us to generate value in both roles. There is also continuous growth of the customer base in the free market, plus 18% year-on-year. As I was telling earlier, our PPA mass market offers, the number of gigawatts per hour of mass market is exceeding potentially the PPAs for B2B, confirming the fact that our intuition of PPA mass market was good, 70,000 new customers only this year. And then we have been awarded concept tenders with a 7.8 terawatt hour of energy to be placed, confirming A2A as a very important player in terms of energy being sold. For Waste, we have the WTE plant in Trezzo. We have been awarded a tender, as it's often the case, a complaint has been filed with a delay, but the process is starting. And then two important tenders, we have been awarded for collection in Milan with AMSA. We had a very aggressive Spanish player in this tender, and the Acerra tender for WTE management, the old contract dating back to 2008 of Acerra had expired. Region Campania has launched a tender. There have been several bidders, and we have been awarded the order. Then we have district heating, another important acquisition in the context of our M&As, related to Sesto San Giovanni plant in the city center of Milan from Edison. Very interesting, the cogeneration plant for district heating purposes. Here you also see that we have entered into two agreements in Milan and Brescia to start a plant to retrieve energy from data centers. Very interesting, most of all in Milan, we assume we can reach 150 flat equivalent in terms of recovered heat from data centers. And we have connected the Dalmine and Bergamo plant to our Dalmine network. In the light blue box, you see the financial part. This year, we have several financial goals that have been attained. We have issued our first green hybrid bond. We have revised our sustainable finance framework. And then the most important element is that we have reached 78% of total debt in ESG format. Our target in business plan was to achieve 75%. We have outperformed it and we are the first Italian corporate to have an MTN approved plan in Italy. The first bond we have issued has been extremely successful, thus confirming the good idea we have had. Here you see the figures, you already know them, you have seen them in our preview. The net income, ordinary net income reaches 816 million era, a record figure. 864 in total. Therefore, the growth of the ordinary EBITDA by 20% of the net income by 29% are actually confirming our well working industrial strategy. Also because the revenues are reducing by 13% puns 2024 were 14.5% lower than in 2023. And also the gas price was 15% lower. So of course the elements which have favored such a good result are hydraulicity and the marginality we have recovered on the market side. Besides the overall growth of all sectors, as you will also see in the next few years. Before I hand over to Luca, let's talk about CapEx. We have managed to grow further year-on-year. We have exceeded €1.5 billion CapEx, almost 70% of which are for development, which is very important. 72% are aligned to EU taxonomy sustainable. And this is the reason why we have a 78% ESG debt. In the breakdown you see that smart infrastructure takes the lion's share as its logic. There are anyway significant CapEx also in generation with Monfalcone plant for capacity market, with investments in renewable energy sources and other revamping activities and waste where we are constructing the new WTE plant of Corteolona after closing the third line of Parona last year in the province of Pavia. So we are happy with this 10% growth of our CapEx. I’ll hand over to Luca.
Luca Moroni: Thank you very much, and good morning also from my side. Let's then go back and see the economic financial results for the business. With a total EBITDA of 2 billion 328 excluding non-recurring items of 3 billion 17. That represents a growth by 20% compared to the previous one. We benefited from indeed an energy scenario with a positive hydraulicity, especially in 2024. But. But we have brought forward, as Renato said, the growth as an effect of the CapEx plan the group is making that has been making for a few years in a significant and consistent way, increasing CapEx up to €1.5 billion as an average on an annual basis to guarantee stable and visible growth also for the next few years. Then what else have we made then with the opportunities coming from the scenario for hydraulicity and also from energy scenario. What we have done is that we have translated them into opportunities of CapEx again because in addition to the extraordinary operation with Enel, we have also finalized some few others extraordinary operations and not as big but as important for the growth of the various business units. In addition to having acquired so and financial flexibility in our indeed net circulating capital, net working capital, so several opportunities that have been exploited at best to continue growing with the financial flexibility with the financial sustainability, which is quite significant. We go to page nine to look at the various business units trend. The drivers that have led to the growth of the various BUs generation and trading with a growth of 23% with an ordinary EBITDA as a result of the development of renewables. And also coming from the energy scenario, we have talked about 238 million increase with a partly compensation of about 57, 60 million. Regarding flexibilities, so less production from our thermoelectric plant, stabilization of the margins coming from MSB compared to previous years. So more margins from MSD. So regarding 6 tetra renewable energy was produced in a year where we are at even in mix between energy coming from renewable sources and energy coming from thermal sources. So another very important element that indeed confirms the value of our pathway in rebalancing the two sources of energy in our plan. So regarding the hydroelectric energy production, we know that we've had very positive year with 5.2 terawatt hour production, with an average over the last five years of 4.1 which is also the target we have set for the next few years. Regarding the market BU they have expressed the value in the growth of the customer base, especially in the free market with a growth of 13%. But in general, as a matter of fact it performed well in the various segments with 154,000 more customers plus 4% and growth of the three market has compensated some declines in other segments related to protection markets. You know that we have gained and acquired some places with positive margins compared to the outcome of the tender that so indeed the final battle on margins and an average national margin in a very negative area. So the growth in terms of customer base has been switching to electric customers most of all that in the overall mix reach 57% of the total customer base. And therefore once again these represents another important target in our pathway towards electrification of consumptions. And therefore also the consistency in customers are being managed in this direction. So the 461 million EBITDA for this BU and then +144 compared to the ordinary EBITDA 2023 45% increase. Very good indeed. The margins in the retail segment, but also in the business segment. And we actually catch up what we have last after 2022 as a result of those contracts that had suffered indeed from greater volume at higher prices that were indeed carried forward in 2023 and are recovered in 2024. Let's go to page 11. This is the waste BU and there is a continuous solid performance in the waste treatment field and the waste disposal field through all of our plants vigor performance of our plants waste to energy plants also with the [Indiscernible] Parona plant that allows us to increase the managed volumes and the electricity produced and sold with indeed quite a big satisfaction both in terms of volumes managed and in terms of heat generated. A slight decrease in the segment of a collection that sees a reduction of 3 million as a result of the activation of the tender in Milan after the tender that is all tenders we have won the contract for the next seven to nine years with priority condition. Page 12. We have the smart infrastructures that have grown as a result of the CapEx. Indeed, investments made in the electricity part RAB has grown by over 14% to reach above 1 billion 1 billion 100 of RAB managed, and also the RAB of gas growth by 8% and also a significant growth of RAB in the water cycle 14% growth reaching an amount of over €65 million, whereas for gas above 1 billion 7. So all the businesses with networks express growth in terms of EBITDA compared to the previous year, allowing the BU to increase the overall EBITDA by 8% for 40 million. Page 13. Very quickly our profit and loss statement 2 billion 328 EBITDA and then we have the provisions and amortization increase by 83 million as an effect of amortization coming from CapEx. And we have 113 million that is a provision to risk and credit devaluation. So in particular the risk provisions had a greater provision due to the effect of certain releases we had during the year. The most important one is the one after indeed the release for a tax litigation with a release of about 12 million that allowed us to optimize these in data provisions. And also net financial expenses performed very well, 122 million with an improvement of 17 million compared to previous year. And here you see that the most important item comes from indeed the hybrid bond coupon that indeed replaces the hypothetical coupon we could have had for the debt replacement. But since it is a hybrid bond for sure, we certainly have a part that can be recognized in the income statement, we will see the effect in the next year. Regarding taxes, the tax rate has reached 29%. So in line with what has been the tax rate in the previous year, we have had a volume effect deriving from a greater income before taxes close to 1,200 [ph] that for sure provides a greater effect on the payment of taxes. Net income before indeed special items it's 816 and 864, including special items. On page 14 we see indeed the net free cash flow. Cash flow that actually gave us the possibility to create the flexibility we wanted to reach. So we then could carry out the activity we had conducted during the year and then meaning to have our operativity on the stock exchange in the purchase of commodities. And so going back to indeed compared to an operational activity in 2022, 2023, during which we had moved for opportunities to OTC bilateral contracts that allowed us to have longer terms of our payments. Now we are back on the stock exchange platforms where you have a spot terms about 12 days as an average. But we have more flexibility in our operations and therefore to benefit from these in the future. So regarding the prices for electricity and gas in the last quarter, then especially in the receivables part, there was like a seasonality that was slightly stronger, but no reason of concern because in the next quarters there will be a stabilization of our working capital. Regarding taxes and indeed financial expenses. 400 million and 1 million 345 is operating cash with which we have paid almost all of our CapEx. Our dividends are paid for 300 million net free cash flow of 465 negative that we have managed both with the issuance of the hybrid bond and with the issuance of other loans. The syndication of the loan to manage the acquisition also of Enel Network from Enel distribuzione from annual distribution that you see here that is indicated of 1 billion 400. So we have a delta, therefore our NFA for 4,682 to 5,835 with a leverage that is very solid and sustainable, that is given as 2.5 times. That confirms the growth direction with a financial stability which is quite important. And regarding our plan, we had declared that we wanted to stay below 2.7. Our internal target was not to go above 2.6. And therefore this result is very important and significant for us. And here on page 15 you see this new directive that we have implemented. It's the CSRD directive that has been introduced in Italy with 125 degree that contemplates indeed the reporting that is a sustainability report integrated into our management report. And in order to guarantee a connection of data reported in the sustainability report being connected with financial statements data, we actually did this exercise and it was simpler in certain concerns because the group was already used to have this structured way regarding financial reports regarding the sustainability and the related effects and impacts on economic financial parameters. And then these becomes a single report integrated that will allow the reader of our report to have all the data, all the connections that are contemplated. So you see on the slide, on the right part, several indicators that have been reported by the group for time with important results obtained in 2024. One for all the emissions. So it's quite good. 258 gram of CO2 kilowatt hour with 17% reduction compared to 2023. Another important indicator is the one related to taxonomy. So report -- these are reports that have become standard and mandatory already for a few years. So we have been reporting them and aligned with taxonomy. We have 72% of overall CapEx, 55% those that are eligible according to taxonomic criteria. I would like to indeed focus on the CapEx that is the most important indeed parameter in this report and the last two indications which are significant. So we have increased the employees of the group. There is an expansion policy with new hires being very careful to all talents, newer skills to be brought inside, 6% increase of our employees in the group. And the MSCI rating that indeed is back to a level after a couple of years, during which we suffered especially in 2022 with CO2 emissions as the effect of the operation of the coal plant that actually penalized us in this rating. So I think we can close the presentation and we confirm you that 2025 has started quite well. We confirm the guidance we had already given with this EBITDA around 2 billion 2 [ph] and the ordinary net income amounting to 0.68 billion to 0.70 billion, and the dividend that we will pay will be €0.10, €213 million as a whole. And I would say that with the last slide, then we'll leave a space to the Q&A. So in the last slide we have indicated certain elements that are included in our industrial plan to 2035, confirming the solidity and robustness of our company. Also for the next few years we have indicated supportive edging activity. I'm sure you will ask us details and we will give you the capacity market that has reached very important volumes. Until 2027, the RES platform development is on track and it is very effective. And then the expansion in free market, where indeed we have a churn much lower than what has been communicated by the authority. And then of course the integration of newly acquired regulated networks, which is quite significant. And then of course the topic of the new business unit of circular economy and our robust activity regarding sustainable finance. And we also deal with important innovations. And as a matter of fact we have been the first European issuer of a EU green bond. So we have a strong commitment towards our industrial plan and we will for sure perform very well in the next few years. And now the Q&A.
Operator: [Operator Instructions] First question. Javier Suarez from Mediobanca.
Javier Suarez: Hello. Thanks for your presentation. I have two or three questions. First one about the context. Can you give me your indication about how you think it is possible to evolve the debate on extension of electricity and concessions and the indication that this could have in terms of upfront payment. What's your last guidance? What could be the upfront payment for your electricity distribution? And then talking about the context. What about the possible extension of the concession to produce hydroelectricity. Next question about hedging. Can you give us some more details about the hedging level for 2025, 2026 [Indiscernible] pricing and volumes? A third question. Can you please inform me about the MSD contribution in 2024 and what you expect in 2025? And then last view on the expected debt in 2025.
Renato Mazzoncini: Thank you. We will answer to each question. Question number one, about electrification of the networks. We expect quite soon to have implementation load decrease and distribution will take place involving are the Italian ministry at a national level. We assume high single digit, so an amount which could be between €6 billion and €7 billion in total for the whole national network. As, it's clearly written in the Italian decree, it's RAB driven. On our site that's good news for sure. This will have an impact on an investments and one might think that the cash out will take place in about two years. So it's not just a single outflow of money. This is what is reasonably expected to happen. The percentage of national electricity network. Let me just calculate and think. We are at 4%, 5% approximately. So 4% or 5% of the amount I have just given. As to hydro concessions, I think you have seen the senate hearing of Minister Forti a few days ago. He has informed that there are now conversations with Brussels representatives to remove this duty of tendering relating to concessions. Our Minister yesterday and today is having meetings in Brussels. If he has mentioned that during a public hearing in the Italian Senate, it means he's confident that this is going to happen and we do the same. So I would say that as soon as he gets the green light from Brussels to eliminate from the P&L hydroelectricity, we will have a symbol defer energy on the DS share, which continues to persist as the agreement that is reconciling all players. So it's a mechanism of assignment of concessions for the next few years with Project Finance a path, a financial approach for concessionary companies identifying new investments so as to make sure that these are the right remuneration on the investments made. Hedging 2025 is fully hedged, as we usually do. We hedge about 70%. We are now at 77%. We want to avoid being short with production. We are hedged at 120 Euro. The good news is that 2026 is already hedged at 32% at €114 per megawatt hour. So this is also benefiting from the first performance of the first month is 2025 with high prices. MSD? Yes. As to MSD, we have a plan. 2025 is evolving in line with the plan. We have €80 million, €85 million approximately. We don't expect significant differences in the market has stabilized itself at this level. There is no reason to think, therefore that there can be significant changes. As far as the debt is concerned we confirm that we will remain below 2.7, presumably closer to the leverage ratio we have seen in 2024. This is our target and the horizon we are working on. A follow up question on the comment of the CEO about the construction [ph] of the hydro concessions. I would like to understand from you let’s say €300 million upfront payment for A2A. So you have mentioned this will be in one or two years. Can you confirm that? Yes. We assume this money is an inflow for the government. Even if in the Italian degree they had specified that there should be an allocation to reduce the energy bills. But they can do whatever they want with this money. So they are interested in collecting the money by 2026. And this is also reasonable, considering there will now be the new parameters for 2025, the payments that will be spread over the two next years. Thank you very much indeed.
Operator: Next question. Francesco Sala, Banca Akros.
Francesco Sala: Good afternoon. Thanks for the presentation. Three questions. Can you give us an idea of the prices you have for B2B customers? Then the forecast for retail for 2025. Is there any margin pressure? Competitive pressure?
Renato Mazzoncini: Sorry, can you repeat the second question?
Francesco Sala: So what about the retail forecast for 2025? A third question, a strategic question. Compared to three years ago, the range between your electricity sales and your production is now wider. So I would like to know whether this is a new normal or whether you think that this range can get closer in the next few years.
Renato Mazzoncini: Let's answer to the second question. Talking about retail margins in 2023 and 2024 we have had significant retention costs because we had contracts that were out of the market, fixed price contracts that we had closed during the energy crisis between 2022 and 2023 due to the fact that the antitrust authority had not allowed to change these contracts to variable price. It was a unilateral contact change for the authorities. So customers have confirmed the fixed price contracts. So 700, 800 megawatt per hour. These were the levels. Therefore we have had significant effects when these customers, as it has happened, have contacted us. They were proposed offers to retain them. So the idea was to retain the customers as much as possible. Generating costs about €50 million for 2023 and €80 million of costs for 2024. For 2025, we have about €20 million significantly less. So 2025 starts with a significantly higher retail marginality which cannot fully offset pressure. But it can any way support the performance of the EBITDA of this business unit. I would also like to draw your attention to the fact that this BU allows us to get 700,000 new contracts per year. We have a churn rate of 8%, 9% less than the average for this industry and we have a sales ability so we can get 700,000 customers per year. As to the PPAs in the B2B market, if the question is about prices, we cannot provide an answer because this depends on customers profiles. So depending on whether you have customers requiring pay per use or different profile, you develop, you set a specific price which has hardly terms of comparisons. I don't want to give you prices that are not meaning if not related to a specific consumption profile of customers. If the question is the propension growing for B2B PPAs? The answer is yes and no because we have to become faster. Our professional association Elettricità Futura, is proposing to have GSE as intermediate body between supply and demand because customers propension also in the long run for energy intensive customers is still low. So there are some. But as I was saying earlier, 2.3 terawatt hour energy sold through mass market PPAs can be achieved and I think that it will be difficult to reach higher volumes in B2V unless we found a formula with GSE that acts as a guarantor for the energy transition. Talking about the range, looking at the overall production, we have a lower gas production and increasing renewable production. But this is growing more slowly. So we have a situation where our total production is changing in terms of mix and we have more added, but it's not growing in absolute terms. And as for other B2B players, we have confirmed our standing as a trustworthy sound player. This has happened also during the energy crisis when many of our competitors have left customers and business lines. We have expressed our trust to industrial customers and we have grown significantly in that area. So therefore I think we will still have that range because we see the positioning in the last few days, we have the energy release. You have this very interesting energy release figures. We are one of the players who have deployed a significant energy volume working with our industrial customers who have presented requests to the GSE with partnership with A2A and renewable energy plants with specific features and visage in these contracts. As we have highlighted also in the first slides, we are doing buy and sell side PPAs. Interesting to note that managing PPAs without energy management and customer base is difficult. There are pure generator players who collaborate with for these activities and of course this is rebalancing our positioning.
Francesco Sala: Thank you very much.
Operator: Thank you. And next question comes from Davide Candela of Intesa Sanpaolo.
Davide Candela: Good evening. Thank you for the presentation. For the questions I have three questions. The first question refers to waste. So in Milan you said you had some competition for collection from an international operator. So in general do you see any risks with the fact that there could be also international operators for collections and also for waste treatment also concerning the peculiarity of the Italian market. And second question regarding regulation and the new structure of the circular economy. So this new structure within your organization is indeed a business structure or is related to some corporate action and to have the partnership with other partners to divide the risk and increase the CapEx. And another question, we have seen last week the Terna plan with request of indeed 100 Terra gigawatt. Can you give us some evaluation regarding the role of -- for electric distribution, but also as an operator, as energy supplier, also based on what you have just told us regarding the role of [Indiscernible] in the national air energy market.
Renato Mazzoncini: So regarding collection and treatment, so those are two different markets. Waste collection is a market where as a matter of fact barriers at entrance are very low and we should say that we have indeed men's and equipment and therefore when you have the contract given to another player, so you have both men and equipment are used and barriers at entrance are very low because then storages and plants you need to perform these services are often owned by the local entity or in any case they should give the availability of this. So this is the reason why there are some operators outside of Italy that participate in our tenders, because as you see from Barcelona, it's much bigger than AMSA. And also the knowledge of the service and of the area and the fact that AMSA participates with Adoia [ph] Ambiente that is used to do this and participate in tender for plans. But it was effective then our participation in the tender. And so the technical part remains quite important. 70% regards the technical part and only 30% the economic part part, so we were then able to win the tender. But I don't think things can apply to treatment, because the treatment is quite different, because the complexity of obtaining indeed the authority for the plants is like a monster, because we are used indeed, even when we hear about nuclear, power, we are very much used to quite a battle to obtain authorization, even for methane. So therefore, as of today, I don't think we have a risk of competition in treatment plans, but only on a little bit with a plastic treatment or glass. But the big portion in what we are interested, like WTE, I think there is no issue. And then of course, I believe it's very important regarding data center and regarding Milan, we have indeed 1.7 giga and in Milan. So if I should make a forecast for imaging that the required power for a data center in Milan for the next few years, it could be about 500 mega, not more. But then of course there are more and more demands, as it happened with renewables, there are several developers and so some obtain the gold, others not. But there is a great interest. But a can be a key player for two reasons, because otherwise they cannot actually install a data center without a baseload energy, because they need baseload energy and redundant energy they cannot stop. And therefore a company such as ours doing distribution and generation in Milan will become an essential player. And the second reason is that they also need to respect sustainability index. There is an index that is called PUI and of course this is considered also garden district heating. And each mega of electricity we can have half a megawatt thermal energy. And these improves the index of sustainability of the data center. And this means, to be chosen by operators that of course need energy and such services. And so we consider this business very interesting. We also have a working team on this topic, because I think that in the next five years this will become way more important. The second question, I can't remember which was the second question, regarding the circular economy. Were you in our forum of our community in Rome and investments in water are monster investments to be made in Italy? So indeed, yesterday there was a Vice President with the delegation to [Indiscernible] in Italy and actually said that even the more virtuous company, we have €100 per inhabitant investment in Italy. That is a European standard. In Italy, starting from very obsolete networks, they have indeed replacement rates of the damaged pipes that are about 200 years, 300 years. And this means that to be able to have a network capable of recovering indeed this old status, there must be at least €200 per inhabitant. If you multiply this for 6 million inhabitants, it's €12 billion, whereas now we have €6 billion estimated CapEx. So this of course requires more industrial investors. Right now water has a very good profitability, where the returns on investments regarding the regulated part of that is even better. So there is a much space also on tariff, because our tariff is by far the lowest in Europe. One third of the German one and half the French one. So there is a lot of space in the tariffs for the operator. And therefore we keep on investing on these within our perimeter. We are also participating in beads outside our area, in Calabria, in Sicily and in other situations. And I think we could find very interesting spaces here for the rest. Today we are very big player in WTE. We have requests of collaboration from abroad. And this for sure one of the expertise that could open up new opportunities.
Davide Candela: Thank you.
Operator: Next question comes from Emanuele Oggioni for Kepler Cheuvreux.
Emanuele Oggioni: Good evening. Thank you for the presentation. I also have a few questions. The first is regarding hydroelectric production that is estimated and embedded in guidance of 2025, considering that you were estimating a return on normal production 4, 4.1 terawatt hour of production, and at the end of 2024 you are able indeed to accumulate water in the various basins for about half terawatts hour. And so can you explain to us your visibility? Because it's true that it's only three months here today, but snow and rainfall on the Alps are still below the historical averages and even below the averages of the last few years. So this is the first question regarding the estimates of hydroelectric production. And the second question regards the asset rotations, regarding possible disposals or possible acquisitions, you have a quite big space of leverage. You could have more. So what do you think could be interesting and what are you, where are you looking at? In which business sectors and what do you intend to sell, for instance, in gas distribution, as you did Ascopiave. Thank you very much.
Renato Mazzoncini: Well, Emanuele, regarding the first question, the answer is that in our guidance we reported 4.1 terawatt hour and we started with full basin higher level than 2023 because we have half a terawatt per hour regarding the capacity of accumulation of the basins. Regarding snowfall data from the last few days, 13 below average. So for sure for 2024 minus 30%. But this is above to above 2022 for sure, sure. So I think the situation is very variable, so can change. So in the Alps there is a lot of snow, even 2 meters nose at 2000 meters altitude. And during this weekend there should be snowfall again. But of course it's very difficult to make estimate. But I think we should be comfortable to keep the value we reported in the guidance. Regarding acquisitions, of course I won't tell you anything because even if there could be something, this is not a topic of discussion in this situation. But for sure when there are opportunities, we are always there. But what is good from your question is indeed the fact that that apparently you confirm that we have quite good financial flexibility not to miss any opportunities in case they should be there. Yes, my question was more of a high level questions, meaning that are you still interested in making asset rotation? Thank you.
Emanuele Oggioni: Thank you very much.
Operator: [Operator Instructions] There is a follow up of Davide Candela from Intesa Sao Paulo.
Davide Candela: Yes, apologize if I indeed exploit your availability follow up on 2025 and considering the weakness of wind production in the first quarter and the volumes from indeed CCGT increased by 20% and considering volatile prices scenarios, especially upward in the first part of the year, are you expecting that the production could provide up risk regarding compared to your expectation in the plan?
Renato Mazzoncini: Well, Davide, for sure there is an opportunity. It was an opportunity in the month of January because since there was no wind and we were able to express good production with thermal plants and the fact that we operate the plants in a flexible regimen with the possibility of using them when we can optimize marginality. Of course this is a big opportunity for us, as it was the case in the last few months. We will see what will happen in the next few months. But the fact that we have the possibility of managing different technologies makes us capable of exploiting all market opportunities at best. So if there's a lot of water, we do, we go for water. If indeed there is no wind, we go for gas. And if there is a wind and sun, we go for renewables. So I think that this is well known to all of you.
Davide Candela: Thank you very much.
Marco Porro: Thank you all. Thank you for your participation. If there is any follow up or additional questions you can actually contact IR office. Thank you very much and have a nice evening.